Operator:
John Doherty:
Fran Shammo:
John Doherty:
Operator: 
Jason Armstrong – Goldman Sachs:
Fran Shammo:
John Doherty:
Operator:
Phil Cusick – JPMorgan:
Fran Shammo:
Operator:
John Hodulik - UBS:
Fran Shammo:
John Hodulik – UBS:
John Doherty:
Operator:
Simon Flannery – Morgan Stanley:
Fran Shammo:
Simon Flannery – Morgan Stanley:
John Doherty:
Operator:
Michael Rollins – Citigroup Investment Research:
Fran Shammo:
Operator:
Mike McCormack - Nomura:
Fran Shammo:
Mike McCormack - Nomura:
Fran Shammo:
Mike McCormack - Nomura:
Fran Shammo:
Operator:
Kevin Smithen - Macquarie:
Fran Shammo:
Operator:
Tom Seitz - Jefferies:
Fran Shammo:
Tom Seitz – Jefferies:
John Doherty:
Operator:
David Barden – Bank of America Merrill Lynch:
Fran Shammo:
Operator:
Jennifer Fritzsche - Wells Fargo:
Fran Shammo:
John Doherty: